Operator: Good day and welcome to the Green Plains Renewable Energy Inc fourth quarter and full year 2011 financial results conference call. Today’s call is being recorded. At this time for opening remarks I will turn the call over to Jim Stark. Please go ahead.
Jim Stark: Thanks Matt. Welcome to our fourth quarter 2011 earnings call. On the call today are Todd Becker, President and Chief Executive Officer, Jerry Peters Chief Financial Officer, Jeff Briggs, our Chief Operating Officer and Steve Bleyl, Executive Vice President of Ethanol Marketing. We are here to discuss our fourth quarter 2011 financial results and recent developments for Green Plains Renewable Energy. There is a slide presentation for you to follow along with as we go through our comments today. You can find this presentation on our website at www.gpreinc.com on the investor page under the events and presentations link. Our comments today will contain forward-looking statements, which are any statements made that are not historical facts. These forward-looking statements are based on the current expectations of Green Plains’ management team and there can be no assurance that such expectations will prove to be correct. Because forward-looking statements involve risks and uncertainties, Green Plains’ actual results could differ materially from management’s expectations. Please refer to page two of our website presentation, and our 10-K and other periodic SEC filings for information about factors that could cause different outcomes. The information presented today is time sensitive and is accurate only at this time. If any portion of this presentation is rebroadcast, retransmitted or redistributed at a later date, Green Plains will not be reviewing or updating this material. Now, I would like to turn the call over to Todd Becker.
Todd Becker: Thanks Jim and thanks for everybody joining our call this morning. In a short period of time we have built a large diversified enterprise. Our success includes generating 11 consecutive quarters of profitability and we owe this accomplishment to the execution of our strategy, the risk management, operational excellence in running our facilities in a safe manner. These are the fundamental reasons we continue to produce the results that we do. Over the last three years we have generated in total over $345 million in EBITDA and have grown our company from 330 million gallons of productions at the start of 2009 to 740 million gallons of capacity by the end of 2011. One of the benefits of this performance is a stronger balance sheet with cash reserve at lower debt levels per gallon, which gives our stake holders comfort and our ability to sustain ourselves during times of margin compression. Jerry will talk later in the call specifically on our balance sheet but we ended the year with an average of $0.60 per gallon of debt or plant related subsidiary debt compared to just over three years ago, when we built our plants with nearly $1 per gallon worth of debt. Our financial results for 2011 were strong from an EBITDA standpoint the company generated nearly $150 million for the year. We had a significant contribution from non-ethanol operating income again this quarter accounting for 48% or $19.1 million of our total segment operating profit. This was a result of our efforts that we have outlined for you as we have focused on building other income strains. As you can see from our results, we have achieved our goal of a $50 million annual run rate on non-ethanol operating income. We indicated as a result in the fourth quarter would be better than the third and the company delivered on this as well. Part of this was driven by our Agribusiness segment, which saw a 76% increase in operating income in the fourth quarter of 2011 versus 2010. This segment delivered a strong full year result as well more than doubling its operating income from 2011. The growth in Agribusiness operating income can be attributed mainly to increasing our storage capacity to $39 million bushels over the last three years. We still believe we can continue to grow this business. We have very good assets and great location and this business has been built from scratch to now operate in four states and handle more than 2 million tons of a combination of wheat, corn and soybeans. Our Tennessee asset performed exceptionally well this year. We were able to capitalize on the weak carries in this off wheat market earlier in the year and captured the last part of the corn inverses at Tennessee that has one of the earliest harvest cycles. This year was especially made for these assets. Our investment in corn oil production continues to provide excellent returns generating another $9 million in operating income in the fourth quarter. We produce $27 million of operating income for all of 2011 from corn oil production but it really wasn’t until the third quarter before all the plants were up and running with the extraction equipment. For 2011 our ethanol production segment produced a record 722 million gallons of ethanol an increase of 33% over 2010. We were successful in generating slightly better ethanol production margins in the fourth quarter of 2011 compared to the third quarter. Operating income before depreciation in the fourth quarter was $0.18 per gallon, which was $0.01 gallon improvement over the third quarter. The high basis levels for corn we experienced in the third quarter continued into the fourth and are still impacting margins in the current quarter. As you know, we started to lock the fourth quarter margins away late in 2010 almost a year ahead of time. While the industry experienced a peak margin environment during the quarter, margins also were very volatile especially when the inverse broke in December. You may remember during the first half of the year margins were very soft but our consistent focus on forward hedging allowed the company to outperform the spot market. In the fourth quarter, this was not the case but predicting spot margins was never our business strategy. I will provide some color on forward ethanol margins a little later in the call. Overall, we feel that our performance for 2011 was solid as we expanded our ethanol production and our agribusiness operation; completed the implementation of corn oil technology at nine plants; successfully completed Phase II of our Algae project; refinance our agribusiness segment, and continue to de-risk our value chain. Now I would like to turn the call over to Jerry to review our financials in more detail.
Jerry Peters: Thanks Todd. Good morning everyone. First, I would like to run through a brief comparison of our financial results for the fourth quarter 2011 compared to 2010. Our consolidated revenues for the fourth quarter were $923 million, up 22% compared to 2010. The increase is mainly due to an increase of ethanol we produced at our own plants, which was 19 million gallons, or about 12% higher than last year’s fourth quarter, as well as an overall increase in ethanol and distillers’ grain prices. We acquired the Otter Tail plant in March of 2011, which accounts for most of the volume increase between the periods. Corn oil production contributed $14.5 million in revenues and $9 million to operating income in the fourth quarter based on 32 million pounds of production. Total cost of goods sold increased by $165 million, mainly due to increased production volumes and higher corn costs. Ethanol production experienced a 28% increase in the average cost of corn per bushel in the fourth quarter of 2011 compared to 2010. We generated $52 million of gross profit for the fourth quarter, which was about 1% increase over the fourth quarter of last year. As Todd mentioned, our agribusiness segment turned in a sizeable increase generating $7.8 million of operating income on $170.5 million of revenues in the fourth quarter of 2011, compared to $4.4 million of operating income on $167 million of revenues in the fourth quarter of 2010. This improved performance comes from higher unit margins for grains and fertilizer offset by some slight decreases in volume sold to these products. Our Tennessee asset did turn in a very good performance and overall margins for corn were higher across the agribusiness platform. Consolidated selling, general and administrative expenses increase $973,000 or approximately 5% quarter-over-quarter, which is the result of the growth of our business. Our consolidated operating income decreased slightly by $538,000 or about 1.6% in the fourth quarter of 2011, compared to last year. As you can see on slide five of this, we generated operating income before depreciation of $0.18 per gallon realized in the fourth quarter of 2010. The decline in ethanol profits for the quarter was largely offset by the significant increase in contributions from non-ethanol segments. Interest expense was higher by $500,000 due to higher debt levels as a result of acquiring Otter Tail earlier in 2011 and a full quarter of interest from the convertible notes issuance late last year. Our effective tax rate increase in the fourth quarter as a result of adjusting the full year’s tax rate to just over 38%. As a result, income tax expense for the fourth quarter increased $1.6 million compared to last year’s fourth quarter. We expect our effective tax rate going forward to be around the 38% level for the foreseeable future. This is a significant jump from the 27% effective tax rate we had during all of 2010 mainly due to a reduction in valuation allowances against deferred tax assets that were recognized in 2010. But it’s important to point out that nearly all of our income tax expense is non-cash. With our growth we have generated significant amount of tax depreciation that should limit the amount of cash taxes we pay in the next few years. Earnings before interest, income taxes, depreciation and amortization, or EBITDA for the fourth quarter 2012 totaled approximately $45.2 million, an increase of $1.3 million over last year. Our liquidity position remains very strong with total cash as of December 31, of approximately $195 million on the balance sheet. As we experienced last year, we generally build liquidity in our agribusiness segment in the fourth quarter to meet significant grain payments early in January as many of our grain customers defer cash receipt against their contracts until the new tax year. During the quarter we also put in place a new credit facility at the grain company with $195 million in capacity. We believe this facility will provide significant flexibility dealing with volatile commodity prices as well as position this business for further growth in the future. During the fourth quarter, we utilized $18.1 million of cash for principle payments on our long-term debt about $7 million for capital expenditures, and another $14 million to finish the payments we have with NTR. As you can see, we still manage to increase our cash balance by $40 million. It was a very strong quarter from a cash flow standpoint. As of December 31, our total ethanol plan debt was $443 million or $0.60 per gallon, which puts us in our best leverage position on a per gallon basis for ethanol production assets since our inception. As shown on page nine of the slide deck, our consolidated debt to total capital was just under 53% at year end, which was a nice improvement over the last year. Total debt to EBITDA improved over the past year from 4.8 times in 2010 to 3.8 times in 2011, which, given the diversification of our business and considering our substantial cash reserves, is a solid leverage position for a growing business. Overall we made great progress growing our company last year while we strengthened our liquidity and our capital structure. Now, I would like to turn the call back over to Todd.
Todd Becker: Profitable growth will continue to be a focus for 2012. Some of our growth will come from our marketing and distribution segment. The construction of a 96 car unit train terminal in Birmingham, Alabama on the BNSF Railway is underway. This terminal will have 160,000 barrels of ethanol storage that is significantly larger in capacity than any of our existing blending terminals. We expect the terminal to come on line in the fourth quarter of 2012 and we expect this project will have a positive contribution to the bottom line. We also recently completed expanding our Collins, Mississippi terminal’s biodiesel storage and distribution capabilities, which will become an injection point for biodiesel on Kinder Morgan’s plantation pipeline. We are currently looking at our other terminals for this same opportunity. Agribusiness also remains a focus for growth as we just recently completed the acquisition of an elevator located in Saint Edward, Nebraska. This location is in a great area for producing grain and we continue to look in Nebraska for other opportunities to expand. We believe as U.S. farmers continue to produce larger crops, grain handling, storage and merchandising will be an area where we can earn solid returns on our investment. Over the last three years we have grown our grain storage capacity to approximately 40 million bushels once the expansion the Saint Edward elevator is completed in the third quarter of this year—which does not include our corn storage at each ethanol plant. The business should handle over 2 million tons of grain in 2012. We are now at day 40 in the U.S. ethanol industry with no blenders’ credit. While margins are compressed, there is still a great incentive to blend ethanol, as it remains a very large discount to gasoline. Margins currently are a function of excess inventories and production as a result of peak margins during the fourth quarter. Peak margins brought on peak production and we are starting to see slowing down as witnessed in the recent EIA report and have heard many instances of slowdowns and possible shutdowns in the industry. One thing that is very different in the ethanol industry than other users of corn, is that we can slow production very quickly while the animal feeding sector cannot move that fast. When you have demand base for corn like ethanol, which is the single largest consumer of a single commodity just about anywhere in the world, there is a misconception about the industries capability to ration production. It takes about 72 hours to slow a plant 30% and a few days longer to go into a full idle mode. In fact, two of our plants have slowed down 30% and we continually analyze production levels versus the current margin environment to make the determination of whether to slow or not. Over the last week, we have seen a margin expansion, albeit from trough type levels, which we believe is based on the industry slowing down and being very disciplined. We have a long way to go from here, but it is a great start. From a company perspective we wanted to make sure we first placed our gallons for the first quarter so we were not selling physical in the spot and we were able to do that, yet still subject to spot margin pricing. When the opportunity presents itself, we will still lock away production margins on an expansion. We will not deviate from our risk management programs. While it was frustrating to see expanded margins in Q4 when we were locked away, we can look back to the first half of the year and know our strategy is intact as we outperformed the spot market during that time. In this 10-K we have added our ethanol storage capacities by plant and we are fully taking advantage of the current carry structure in the ethanol market that allows us to earn a return on space, much like the grain business. We continue to manage the volatility around our markets and we are at a time in the cycle where patience will provide positive returns for our company. While our visibility on ethanol margins is not where we think margins will end up in the near future, we are well positioned to manage through sustained cyclical downturns with our strong cash balance and the growth in non-ethanol operating income. We are optimistic that over time near term inventories of ethanol are reduced and margins will improve. The long-term fundamentals for ethanol are very solid. Our confidence relies on what we believe are the demand drivers for our industry and I want to repeat those for you again: The mandate is 13.2 billion gallons, 600 million more than 2011. Export markets should remain active; we believe that the U.S. ethanol industry could still export over 500 million gallons of ethanol in 2012. Obviously, that is down from the record 1 billion gallons of ethanol exported for the first 11 months of 2011. CBOB volumes remain strong as more refiners continue to produce this sub-grade, 84 octane, gasoline and the RFG market must still have an oxygenate blended in to comply with the Clean Air Act. U.S. ethanol remains the most economical and best source of octane and oxygenate for our fuel supply. We believe that E15 fuel certification is going to happen over the next couple of months. There are large gasoline markets like New Jersey, New York, Dallas, Atlanta and Kansas City that could rapidly introduce E15 certification. That’s not even including Iowa, which is gearing up as well. The ethanol curve in 2012 remains at a large discount to gasoline; Blenders and refiners have a strong economic incentive to blend as ethanol currently sells at a greater discount to wholesale gasoline than the blender’s credit provided them last year. Last week we announced the ground breaking on our five acre algae project at our ethanol plant in Shenandoah. The five acres should be completed early in the third quarter of this year and we are excited by the steady progress Bioprocess Algae is making in development of its Grower Harvester technology. The venture partners have funded the capital needs of BioProcess Algae for 2012 and we believe what we have could be revolutionary in the algae marketplace. There are a number of companies in a variety of industries that are interested in strategic partnerships and off-take agreements for the algae that will be produced from these five acres. We are hopeful to have those in place by the time algae is growing and harvesting. The focus of BioProcess Algae remains on feed, food and nutraceuticals markets as well as carbon mitigation. We continue to search for M&A opportunity and ways to grow our company internally. We want to grow all segments of our business, but we will not rush to add if the price, location and fit are not right for Green Plains. We have built a collection of great assets along the value chain that we are proud of. It is not easy to buy good plants in good locations, as the owners or such plants are in good financial shape, especially from the last six months. In fact, the cheapest and best ethanol we have bought was our own stock last year and it remains this way today relative to market transactions that have taken place recently. The foundation our company is built on is solid including the great employees that come in everyday and work as a team to make this great company. We plan to continue to manage the business in the same manner that we have assembled it. Remaining a low-cost producer, managing commodity risks inherent in our business and finding ways to increase efficiencies at all of our facilities are areas we will continue to focus on. I want to thank everybody for calling in today and now I would like to ask Matt to start the question and answer session.
Operator: (Operator Instructions) and first question today will be from Patrick Jobin with Credit Suisse. Please go ahead.
Patrick Jobin – Credit Suisse: Great, thanks for taking my questions this morning.
Todd Becker: Hey Patrick.
Patrick Jobin – Credit Suisse: I was hoping to get maybe just a bit more color on the ethanol margin outlook, maybe by quarter for 2012. I know it’s difficult but you’ve lucked some away; maybe if you could just walk through what’s been locked in and what kind of margins you are getting.
Todd Becker: Yeah, basically when you look out on the curve in the second and third quarter today we are not really ready to place any of our volumes yet as those margins are not at levels that would become active today. The most active that we have been over the last kind of six months has been in the fourth quarter of 2012, where we saw margins into kind of mid teens to low 20s and every time we saw that opportunity we would lock a little bit away. It’s hard to get a lot of volume off out there but that was one of our focuses early on again as we saw some of those margins expand late last year. Right now in Q1 we are still subject to more of a spot margin environment. We’ve seen an increase in those margins over the last week with what we think are starting to see reduced production run times we saw the EIA data kind of move from the peak production of about 960 data down to 925. We view that as a positive and we think that that will continue to decrease as we continue to have the industry to take production either reduce it or take it offline. That has then somewhat firmed up the ethanol market nearby and we just kind of seen the slide stop albeit we still have some work to do around the margin structure. So kind of through the first quarter we are still subject to some of the day-to-day volatilities. We had some opportunities to lots of stuff away but we are still focused on when we see margins expand to continue to place some more down. We are a bit more subject this year for the spot than we typically have been but when we see opportunities we will take advantage of them.
Patrick Jobin – Credit Suisse: Okay, then just a quick follow up here. You mentioned two plants have slowed down by about 30%. Do you expect that to continue for the next quarter or two or is there additional slowdowns planned? Maybe just your color on what capacity you are going to have online.
Todd Becker: Yeah, what we do is we do the analysis everyday based on every one of our plants. And so we slowed down two of our plants 30%, it’s really more our most inefficient plants that we have and so we will reevaluate that every day we are still kind of in that range where we are going to keep them slowed down, maybe in combination with kind of the broader industry slowdown, we will see if that can help margin at all. But if we see an opportunity where it doesn’t make sense to do that or it makes sense to slow other plants down we will do that as well. So again we focus on a daily, we run the analysis daily against variable cost and it’s only justified right now to slow two of our plants relative to our other locations where we are at, we continue to run those plants. But the interesting thing about slowing down a plant is that there is some offset to that slowdown because we’ve seen an increase in yields in those plants. So there is some benefit from that that you pick up but overall the margin structure today isn’t telling us that we should start increasing those volumes right now. So we assess it daily if it turns out that we need to increase, well we can do that very quickly as well.
Patrick Jobin – Credit Suisse: Okay then lastly before I hop back in queue. You’ve hit your target for non-ethanol production operating income, is there a new internal target you are striving for or when you mention some good opportunities to grow in the agribusiness and additional areas, is there a new target you are willing to put out there?
Todd Becker: Not just yet we are looking at several opportunities in the agribusiness space; downstream opportunities around some of our transportation assets and our terminal assets, as well as corn oil is very steady right now from a pricing perspective so just in general I think we hit those targets that we outlined and we will have to wait and see where our next growth comes from there, but we are looking at lots of different opportunities.
Patrick Jobin – Credit Suisse: Great, thank you.
Todd Becker: Okay, thanks.
Operator: Moving forward we will hear from Matt Farwell with Imperial Capital.
Matt Farwell – Imperial Capital: Hey, good morning.
Todd Becker: Good morning, Matt.
Matt Farwell – Imperial Capital: On gas, I was sort of looking at demand drivers trying to understand why ethanol is noticed supply here the gasoline demand has increased sluggish this year especially given the warm weather and I would have expected it to be higher. I’m wondering if you attribute that to the reduction in demand for ethanol or would it be blend wall issues or it could be that refiners are simply leveraging excess rents carrying over the prior years.
Todd Becker: I guess demand has been somewhat problematic in January, we are starting to see slight increases, we saw that last week it’s somewhat unexplainable the drop in gas demand in January and the question is if that will get revised at some point, based on kind of some of the anecdotal data that is out there. I don’t think that the refiners are leveraging rims because I think that when you look at the CBOB component in the fuel supply today, it’s such a large component that in order to leave a terminal you have to have the ethanol anyways. I think it’s really an overhang from peak production and peak margins and we are going to have to deal with that for a while, when you took an industry up to 960,000 barrels a day, you’re going to build inventories and that’s what we’ve done as an industry and now we’ve got to work through that, get back down tend to 880 to 860 a range again. Down to 920 is a good start and I think that there is enough anecdotal data in the industry that it does say that it is slowing down and I think we will continue to see that on a weekly basis for at least a couple more weeks on the EIA data. So from at the stand point I don’t feel like that’s the case at all.
Matt Farwell – Imperial Capital: Do you think that ethanol production peak in December, do you think that the 14.8 billion gallon for your run rate, does that represent peak capacity of the industry?
Todd Becker: No, I mean I think that there is more available, there are a couple of plants still under construction that I’m not sure when they would get started. But I think there is going to be a key point which will be the certification of E-15 and if we can get that done I think at that point we have an interesting situation where you have several markets that could include this into their fuel supply and the economic incentive is great; and then the real question is when do those plants come on? I think more interesting is that the industry’s ability to slow down. Again, this isn’t like feeding animals where you have a cycle that you’re running through. It is a very quick process, just to slowdown an industry like this and when you are growing 5 billion bushels of corn, you have to respect that. And so to slowdown this industry 10% it is literally a two day occurrence and you could be down significantly and we are starting to hear of wide spread initiatives to reduce productions so we will wait to see how that flows to the numbers, but we’ve got to do some work as an industry to take production offline. And the current margin structure is what told you that. We are seeing a little bit of a bounce in the margin structure but I think that’s more driven by nervousness of the demand base saying, ‘if this industry slows down, number one: where am I going to get my feed?’ which is the DDG’s and the DDG’s market’s are very firm right now, from that perspective, and as a percentage of corn, there is solidly 80%, ‘Where am I going to get my corn oil?’ as corn oil is kind of embedded itself into both the biodiesel market as well as the feed market. And then the other thing is that we have a lot of demand interest for Q2 but I think the industry is not ready to say, ‘I’m going to be running in what level until we get a little bit closer,’ and I think it’s making everybody just a little bit nervous around supply side issues and we will have to wait and see it play out. Again, we’ve been here before, the levels that we see today aren’t much different than the level we saw in unit of last year now. They were lower at some point and then they reacted very quickly, this might take a little bit longer with the stocks build but in general, I think the discipline of the industry will show itself very quickly.
Matt Farwell – Imperial Capital: Fourth quarter it seems like your shipments were a little light, does that imply that you had inventoried some gallons or had you begun the slowdown of the two plants early?
Todd Becker: No actually 4 million gallons of that was related to an unanticipated plant shutdown that we took and that was really the single driver of our lower shipments at that point. We took around a 10 day, 12 day shutdown at one of our biggest plants for a fix that needed to happen and we just couldn’t wait any longer and it’s hard to shutdown in a peak margin environment, but we had to do that so that was a bit impactful. Our run rates going forward, besides the 30% that we reduced those two plants, are solid, but we have built inventory to capture the carry in the ethanol market that $0.02 to $0.025 a month that we have been able to see, so we are fully taking advantage of our storage capabilities on ethanol as well.
Matt Farwell – Imperial Capital: Okay, last question is on the total debt; it seems like it has come down quite substantially at quarter-over-quarter, is that related to the excess cash flow sweeps on the term loan?
Jerry Peters: Really it’s related more to the revolvers. When you look at a total debt number,that would include amount outstanding under our grain revolver as well as our trade group revolver the finance receivable. We pulled those amounts down, and as a matter of fact had less liquidity needs, particularly on grain side in Q4 just simply because we didn’t have as many grain settlements happening again as the deferral phenomenon that occurs.
Matt Farwell – Imperial Capital: Okay, great. Thanks a lot.
Todd Becker: Thanks Matt.
Operator: (Operator Instructions) Moving forward we will hear from Lawrence Alexander from Jeffries.
Lawrence Alexander – Jeffries: Good morning.
Todd Becker: Good morning, Lawrence.
Lawrence Alexander – Jeffries: I guess the first question I have is just as you think about your role in the industry taking volume off the market, should we expect going forward that some of the Green Plains acts as a bit of a fly wheel and takes more capacity off than the overall industry? Because you seem to be a little bit more nimble in reacting to circumstances in terms of your smaller competitors.
Todd Becker: No, I don’t think we want to be the fly wheel for the industry, but I think the smaller competitors have also become much more cognizant of margin structures and it’s a more broad anecdotal indication that they are slowing down from a 50 million gallon plant in Iowa or Minnesota, farmer owned, all the way up to some of the bigger players. We have to wait and see how it flows through, but I think the important thing is that there is still a percentage of the industry that gets their January ethanol number in February. And so they don’t know their January results fully until they see those numbers and our marketing plans get their numbers every day. They are very well aware of their ethanol margin but there is still a percentage of the industry that sells for a marketer that doesn’t give a number until the first 10 days of February. But they don’t really know their full financial results until they get that number. Once now we started to see that number come out people realize how January turned out as some of these smaller plants are going to see them considering slowing down as well. I don’t think we are the fly wheel but I think the industry is much better than it was two, three and four years ago to understand the economics in the spot market and to slow way down.
Jerry Peters: I think the other reason that you would argue against saying that GPRE is the fly wheel would just be the efficiency of our plants, we think our plants as a total platform are somewhat more efficient than the average ethanol plant.
Lawrence Alexander – Jeffries: And secondly if you look at your two or three year plans, any sense for what you think of run rate CapEx level and what you would be comfortable with as a normalized leverage rate going forward?
Jerry Peters: Well in terms of CapEx, I think we will continue on the ethanol side of the business to be around the penny to possibly as high as a penny and a half a gallon of capacity for maintenance CapEx as well as some modest operational improvements. Of course this year we have the Birmingham terminal that’s in our CapEx plans and then going beyond that would just be some further build out of grain storage and then obviously on top of that would be M&A activity. So all totaled I think it’s somewhere probably somewhere in the $30 million to $40 million across the total platform would be a reasonable CapEx level going forward absence in significant growth projects or M&A projects.
Todd Becker: We have a lot of I think what the focus is we have a lot of yield improvement projects that we are looking at, our yield in 2011 was 282 across the platform, 2.82 gallons per bushel, which was up from the prior year from 2.78. And we continue to focus on that we thought this year, the first month of this year’s corn crops was a little bit problematic from the stand point of the moisture difference this year versus last year. But we started to with all the initiatives we’ve put in place we’ve seen a little bit of a yield drop but nothing that is dramatically different than last year. So that’s a huge improvement over the long-term that will pay dividends and in addition, we focused on now how to take from that 2.80 to 2.82 level higher than that, we have several initiatives around yield improvement. When any of those hit we will make sure we will let you guys know but that is a huge initiative for us at this point. The only thing is when you run full out yield somewhat suffers but when you start to slow down you will start to get maximization of yield so you have to kind of do that, do the math of yield optimization versus production optimization.
Lawrence Alexander – Jeffries: And then lastly on the algae side can you give a little bit more color on the status with the respect to feed trials and also I believe you were doing some preliminary work exploring possibly collocating assets with refinery to take their way to CO2 streams. Would you give some update on that initiative?
Todd Becker: Well, we continue I think what’s very interesting Lawrence, is that we now have real product in a lot of demand streams that are looking for Algae. Whether it’s in the food side and application in that industry, the feed side in application there as well in high value nutraceuticals and then especially the Omega 3. What’s interesting is that the word we get is that while Algae is kind of a wide spread story getting actual dry wholesale flakes or in a form that they could start running their trials in any of those sectors has been a little bit more problematic and this is really the first time they’ve been able to see it in bigger volumes from a company. So we have it in a lot of people’s hands as well as exploring carbon mitigation with either power type utilities or refineries and even beyond that looking at fuel as the byproduct, where we will get back to high value oils. So we have a lot of initiatives we have a lot of people looking at product. The five acres there is a lot of interest in the product from the five acres indication to somewhat the whole supply, which we are not quite willing to give right now and to others that want a piece of the five acres to start to run much more wider product uses or trials. So we are very optimistic on all of our initiatives around all of those sectors and I think you will see more of that in the future and then the five acres will really be a point where we have larger volumes to drive wholesale Algae for uses in any of those change. More interesting for us is that the reason that people are attracted to what we can do is number one, we can give them product today. Number two, we are not interested in controlling downstream IP. So we just want to sell them dry wholesale Algae at a good market price and whatever they do with it is what they do with it so he is the end user. So if somebody is interested in food application we don’t care, we don’t need to be involved in their IP process they can just buy Algae from us over a long term contract. So, ours is a bit unique and our focus is not around fuels today, it’s much more around feed, food and nutraceuticals. So we are very excited about all that, we think that some of the future stuff coming down the pipe is very interesting.
Lawrence Alexander – Jeffries: Thank you.
Todd Becker: Thanks.
Operator: Next question in queue will be from Farha Aslam with Stephens Inc. Please go ahead.
Farha Aslam – Stephens Inc: Hi good morning.
Todd Becker: Good morning.
Farha Aslam – Stephens Inc: Your agribusiness sector did really quite well in the quarter. Could you maybe share with us a little bit more color I understand that your Tennessee assets benefited from early corn harvest. But do you run those assets differently are you doing something that’s really improving the results in that segment quite a bit here.
Todd Becker: No, I mean basically what the first benefit to that segment in the fourth quarter was the fact that we continued to earn very good wheat carries on the wheat that we brought in during harvest in Tennessee and that was the first thing. Last year, which is more kind of our first real year, first round business we didn’t have the wheat crop last year to carry in 2010 where in 2011 we had a very good wheat harvest in Tennessee and the carries were very good, that’s the first thing, so we are still benefiting from the large carries in the wheat market. Secondly, also is that Tennessee is an interesting area from a swing between old crop and new crop and we benefited from that as well where we bring in corn very early in the crop cycle but we benefited from a very high basis level of that were kind of waiting for the Iowa and the Northern crops to come in. So we are able to benefit from that we handled more corn typically than we would have down there and then we are able to sell the carry in the deferred markets for the Tennessee corn as well are very, very good. So it’s in a unique geographic location where at times you are able to buy corn at very reasonable levels and then sell the carrying incident and earn very good returns on space. The Iowa assets performed well we are still working on improving our origination up there and we still think we have upside from that standpoint. Fertilizer group had a good quarter we are just basically studied from that perspective and again we are focused on maximizing the margin opportunity in retail fertilizer without taking a lot of risk. Look, this is a culmination of a three year program building a grain business with 40 million bushels of space, which really is unheard of in United States to build something that vast of the highest quality that we have. So we think we have a very nice, very good asset that we can now grow from here and with high expectations for returns in the future.
Farha Aslam – Stephens Inc: Thanks for that color and just a few more on that. Do you expect that wheat carry to continue into 2012 and at kind of the same level?
Todd Becker: With the outcome in a little bit we hope that they do, you know there is good demand for soft wheat but at the end of the day the market is set up and is structured to carry wheat. There is plenty of wheat in the world today we would have high expectations that carries will be good, I don’t know if it will be as good as the last year, but we still have expectations that they will be. We have a very good crop in Tennessee coming on; acres were steady to up from last year and so far the growing season has been great. So if that’s the case along the whole, what we have a very small micro cosmic in soft wheat at Tennessee, but if that’s the case along the rest of the wheat growing areas and we would expect that margins will still be good. You still have to deal with high delivery stocks and soft wheat and those are going to have to be having incentive to be carried. So I don’t think anybody wants to start loading out soft wheat delivery stock anytime soon.
Farha Aslam – Stephens Inc: Okay, and then when you look at corn and sugar harvest around the world and base levels here in the U.S. we currently have really high basis levels for corn, how is that affecting you and how did you affect you as 2012 progresses? Does that impact your cost level?
Todd Becker: Yeah, I mean basically look we would like to go back to historical levels I think the interesting thing is that the pattern of U.S. grain marketing has changed especially in the last few years with the onslaught of on farm storage. And so it’s much more flat price oriented than it is going to be basis oriented so the commercial is going to get its share but the farmer is going to keep a lot more on farm than they had ever kept on farm in the past. So that drives more volatility in the basis. So, it’s not going to be always easy to predict where the basis is going to be because a farmer has price targets in mind and may not be consistent with the current flat prices of the future market and you may have to get that out of storage with the basis. I think what will happen though is that if we do get I think the rest of the year will remain volatile both on the farm and on the firm side until we get a crop planted get a farmer out of the field and get the weather that we need and realize how we are going to grow a big crop. When that happens then the on farm storage, which was fully utilized this year will need some relief and more will go into commercial storage. We really did see commercial stocks go down at the end of the year last year from the year’s earlier levels. Really across the board, ours are actually leveled. But the bigger commercial stock, the bigger commercial players saw some stock reductions in terms of what they were carrying into 2012 versus a year earlier. To finalize my thought here if you got a 94 million, 95 million acre corn number and you do get the growing season, I think you could get more towards historical basis levels at 2013 than we’ve seen over the last 12 or 18 months.
Farha Aslam – Stephens Inc: That’s helpful. My final question is on sugar harvest in Brazil. When do you think Brazil will come back in the market for U.S. ethanol and kind of what you see their demand level for U.S. ethanol in 2012?
Todd Becker: You know they are still working through excess stocks as they brought down at the end of 2011 in the Brazil markets. So they’ve got a way to go to absorb that. I think they imported somewhere in the 250 million gallon range. And I’m not sure that they will be back anytime soon. There are others that are very interested in our ethanol especially as it relates to kind of world price of fuels. So today we still have interest, but I don’t think that Brazil will be the large driver for quite awhile. The window might not open till the third or fourth quarter and then we will see what happens with their sugar harvest. So in general that’s why when you look at the numbers you are at a billion last year or so gallons of which 250 million of that was from Brazil but from what we see around the rest of the world there still should be good demand for our products especially at the price breaks.
Farha Aslam – Stephens Inc: Okay, great. Thank you.
Todd Becker: Thank you.
Operator: Next question will be from Craig Irwin with Wedbush Securities.
Craig Irwin: Good morning gentlemen.
Todd Becker: Good morning.
Craig Irwin: I wanted to ask if maybe you could give us some more global discussion of E15 how you see this potentially unfolding and as we look into 2013, do you see a few hundred million gallons potential incremental demand from E15? I guess to back up on that how do you see the roll out of retail actually happening and could we potentially enter into a scenario where the discount that ethanol typically sees to gasoline could close quite significantly given the incremental demand.
Todd Becker: I will talk a little bit about maybe the more certification of the E15 and what are our thoughts are and I will let Steve talk a little bit about kind of the basic demand markets that will go first and then kind of the total demand bases there and I think that will validate some of the things that you are thinking. With all of our data is into the EPA to certify E15 from a health effects testing. We are waiting for them to give us the final analysis and they will give us the results, which we expect could be positive and we will then certify the fuel. Once you certify the fuel there is other things that have to happen, but in general you have once that happens, you can start to think about the roll out of E15, that can happen in two days, two weeks or two months but everything is there. Then there is these surveys that have to take place of the obligated parties and then there is also things that you have to do locally as a store owner. So there will be some training that has to take place. We are very optimistic that a certification of E15 will happen and then it’s going to be the market’s job to pull that through. And we think that with the current economics we went from a lot of station owners that we know saying ‘no way, no how, not going to happen, we are not going to pull it through’ to looking at the current economic saying, ‘we won’t have a choice except to pull through demand of E15’ and if it happens anytime soon, the certification, we think that demand will start to come online. And there are certain markets that will go first and then there are certain circles around that base fuel stock that will expand a little bit to hit the markets that traditionally don’t have the ability to blend E15 because of the basic fuel stock. I will let Steve talk about those basic markets and maybe some of the technicalities around base fuel stock and why certain markets will go faster than others. Steve you want to talk briefly on that?
Steve Bleyl: I think Todd said it right - it’s been driven by the economics with the spread to gasoline right now. So there are people that are down doing the survey so they prepare so they lease out the option to look at the E15 when it’s finalized. There will be certain markets; you’ve seen Iowa try to position itself from several different standpoints. Iowa may have different hurdles but those pockets, maybe East Coast Reformulated Gasoline Markets, Houston’s reformulated markets where you will have more opportunity to potentially blend E15 quicker than others with our key markets. What it takes right now is the retailer, which we know some are looking at the storage and the tanks they have need to be able to accommodate the products and that’s what’s going on right now. There are people in the marketplace that are preparing for it and looking at it, but again it’s being driven 100% by the economics they know that spreads their gasoline and this is what’s driving them to be prepared for it.
Todd Becker: So if you take a look at kind of the base markets and drawing out 2 to 300 million more gallons that won’t be a very hard thing to do. If you get this thing approved this year, Steve is that a possibility?
Steve Bleyl: It is. It’s the reformulated markets or some of your larger [markets], the East Coast markets, it will be the New Jerseys, looking at it up and down the eastern sea board. It’s where the larger demand is and we need retailers that can accommodate additional storage or have tanks to be able to carry the E15 product.
Todd Becker: So it will be a fight between the discounted gasoline, the demand pull from E15, the stock situation could be drawn down, and any and all of the above could be positive. What we don’t need is any rapid return to even ethanol to gasoline where there is no incentive to go to E15. So it will be a very fluid market, but in general we are optimistic that we will get the decision out of the EPA shortly and that decision could be positive and if it’s positive then from there we will see a potential rapid roll out based on current economics. Current economics are going to drive the decision making and $0.80 under gasoline in the middle of the summer, at the peak of the summer driving season we believe that the economics will pull through some demand.
Craig Irwin: Great, thank you. The second question I had, and this will be a briefer one probably, can you update us on any discussions or conversations you might be having with the EPA regarding your Algae and whether or not that could potentially allow you to certify plants for production of ethanol and advanced biofuel?
Todd Becker: At this point we are not having any direct discussions with EPA on that. We are focused on building out the value could come in the future, but again there is still that “corn discrimination clause” where over 15 million, it cannot quality as an advance, so something has to change from that perspective. So while that will be a nice result of commercializing Algae and rolling it out to our plants and mitigating our CO2 that is not the driver for making the decision to continue to grow. The driver is making decision to grow this platform is because we believe that we can scale up very quickly, we believe the demand base is there and we believe it’s a probable return on capital. If we get some event in the future where corn ethanol because we mitigate carbon that qualifies for an advanced, that’s the bonus. But today we don’t view that as one of our factors that drives our decision making.
Craig Irwin: Great, next question I had was timing for the next phase of BioProcess Algae. What are we looking for to make the decision to put in the first 100 acres and when do you expect that decision to most likely be made?
Todd Becker: With the roll out of the five acres and if we can put some successful partnerships together on supplying product, that will drive our decision on how quickly to move 100 to 200 acre site at each of our plants. Our view is that we could move very quickly in 2012 to make a decision to move to a bigger footprint. Well we are going to find out in our five acres is really cost estimates for the 100 acres and those will continue to get driven down per acre as we continue to scale up. We are working with a very large EPC contractor that is doing all of our civil work in Shenandoah and they are also going to do the cost work on the 100 acre modules. What we are going to do is really focus on 50 to 100 acre modules that could be placed very quickly at any carbon source whether it’s ethanol or some other carbon source and roll out very quickly a wide spread construction project; if obviously we can grow and harvest efficiently and effectively and sell it profitability. So that is all happening concurrently, it could happen we could have a discussion on the 100 acres pre the opening of the five but we will probably wait until after the opening of five to make our final determination. The interesting thing is you can build very, very quickly. The building the reactors will not be the, is not something that will hold you up, our processing building is a little bit more technical from that aspect. We have great capabilities on dewatering now because our partners are water filtration business and so we figured out how to take a 99% liquid into a 20% solid all the way down to the dry hole, all done very effectively and very cost effectively and then as well as looking at drying capabilities. So, it could be a very rapid process but we really want to get a little bit more to the five acres and then that could make our decisions. I can tell you this with certainty; no other partners in the venture are building the five acres with the intent to be as big as we are going to be.
Craig Irwin: Great, if we could just return to the subject of E15. If we assume that E15 is approved and there is a retail roll out and there is a visibility on significant growth actually from E15 in the backend of ’12 and in ’13, it’s logical to see the blenders being well motivated given the historic discount of ethanol to gasoline to adopt a fuel. What sort of return on capital would you be looking for potential plant expansions? And would you consider committing capital to additional ethanol capacity to serve the growth of E15?
Todd Becker: Yeah, if we see an E15 broad roll out with broad acceptance and a pull through from the demand then you can always look at that; our first view is to continue to grow our base asset base and if we see acquisition opportunities we continue to look for those every day and we think that there will be some opportunities in the next 12 to 18 months to continue to consolidate within the industry. If there is a very compelling story and the demand base is solid and we have another 7.5 billion gallons of demand for ethanol, there will be opportunities for the industry to expand and it won’t be hard to do that. I mean you could add fermentation capability and distillation and some hammer-mill capability and then you have yourself an expanded ethanol plant to start with. If you need a big expansion you have the footprint to do it on. I think the interesting thing is that the rail capacity is there, the tanks are ther,e most of the infrastructure is there that your expansion per gallon won’t look the same as your build per gallon. It just really depends on what kind of expansion you want to do at this point I’m not calling for anybody to start expanding or adding on ethanol plant, I think we’ve got ways to go for that. But it is something that in the back of your mind wide spread pull through of 7.5 billion gallons more of ethanol you could have an interesting opportunity at hand, but I think we are away from that.
Craig Irwin: Great, thank you for that and thanks again for taking my question.
Todd Becker: Yes, thank you very much. 
Operator: At this time we will go to Paul Resnik with Resnik Asset Management.
Paul Resnik – Resnik Asset Management: Good morning.
Todd Becker: Good morning, Paul.
Paul Resnik – Resnik Asset Management: With regard to E15, I mean there are always the political questions on ethanol and I see there is some sort of legislation in the house directing National Cabinet of Scientists to perform additional testing on E15, are we at the point where it’s just a lot of political noise, but E15 doesn’t really have any significant road blocks, just a question of the gradual roll out.
Todd Becker: I mean the science committee, which is led by Congressman from districts that have big poultry production and Congressman that have districts that have big oil production. And so they are going to come out a committee with this recommendation. Again you have to get it through the house, through the senate, through the President. From that standpoint that could be more of a challenge as we have; we still have good support for alternative fuel in the United States. It’s just now that the tax credit is going away, there are still people out there that would like to have the whole thing go away. So but I don’t know if that’s going to get much traction. So from a standpoint, I think that we just have to hope that the certification comes through, fuel that has the largest testing ever in the history of the United States at a fuel change, which is what’s happened with E15, and that science will hold very well and those test results will hold very well. So at this point we are optimistic that the EPA will come out certification and from there we will get the gradual roll out.
Paul Resnik – Resnik Asset Management: Great, my other questions have been asked and answered. Thank you.
Todd Becker: Thank you, Paul.
Operator: This will conclude the question and answer session. At this time I will turn things back over to you Todd Becker for closing remarks.
Todd Becker: Just want to thank everybody for coming on the call. We are proud of the results that our company and our employees achieved in 2011. Optimistic about the future from several perspectives, we are dealing with the time of margin compression, but we have set ourselves up over the last couple of years to make sure that our balance sheet is strong, our capability to withstand cyclical downturns is strong. We built other businesses around our ethanol businesses as well and we talked about our diversification strategy now for several years and started to achieve some of those results, which we have talked to. So I think that they are a solid indication for the future for our company. Again we are very thankful for your support and hopefully we get to see these markets improve a little bit. Thanks for coming on the call and we will talk to you soon.
Operator: And again this does conclude today’s conference call. Thank you all for your participation.